Operator: Good morning. Welcome to the Archrock Second Quarter 2019 Conference Call. Your host for this morning's call is Paul Burkhart, Treasurer and Vice President of Investor Relations at Archrock. I would now turn the call over to Mr. Burkhart. You may begin.
Paul Burkhart: Thank you, Rob. Hello everyone and thanks for joining us on today's call. With me today are Brad Childers, President and Chief Executive Officer of Archrock; and Doug Aaron, Chief Financial Officer of Archrock. Yesterday, Archrock released its financial and operating results for the second quarter of 2019. If you have not received a copy, you can find the information on the company's website at www.archrock.com. During this call, we will make forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934 based on our current beliefs and expectations as well as assumptions made by and information currently available to Archrock's management team. Although management believes that the expectations reflected in such forward-looking statements are reasonable they can give no assurance that such expectations will prove to be correct. Please refer to our latest filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. In addition our discussion today will reference certain non-GAAP financial measures including adjusted EBITDA, gross margin, gross margin percentage, and cash available for dividend. For reconciliations of these non-GAAP financial measures to our GAAP financial results, please see yesterday's press release and our Form 8-K furnished to the SEC. I'll now turn the call over to Brad to discuss Archrock's second quarter results and to provide an update of our business.
Brad Childers: Thank you, Paul and good morning everyone. Archrock achieved excellent second quarter results including strong growth in adjusted EBITDA, further expansion of our contract compression fleet, and attractive gross margin percentages for both segments. I'll start today's call with a brief summary of key highlights from the quarter. Net income of $11 million increased substantially compared to $4 million in the second quarter of 2018. Archrock delivered $101 million of adjusted EBITDA a record quarter for Archrock and an increase of 19% over the prior year second quarter. We expanded our base of operating horsepower adding 50,000 in the quarter and bringing Archrock's total operating horsepower at quarter end to more than 3.6 million. We achieved gross margins at the high end of our guidance range for both contract operations and aftermarket services. We declared a 10% sequential increase in our latest quarterly dividend, while maintaining a peer-leading dividend coverage of 2.5 times. And we announced the acquisition of Elite Compression which we expect to close later this week. We believe the Elite operations and team members will deliver significant benefits to our shareholders over the near and long-term. By every measure, this was a great quarter for Archrock. Thanks to a fantastic team of dedicated employees who worked extremely hard every day to deliver safe and excellent service to our customers and returns to our shareholders. Turning to our operations, during the quarter, our contract operations gross margin improved to 62% at the high end of our full year guidance range benefiting from strong pricing, focused cost management, and excellent execution from our operations team. The total operating fleet growth at 50,000 horsepower is primarily attributable to our horsepower additions that service growing production in mostly oil plays with significant associated gas volumes. The Permian remains the largest driver of our organic growth with solid activity and fleet deployments also coming from the DJ Basin and the Eagle Ford. Our growth continues to focus our large horsepower equipment that services midstream activity. Large horsepower comprised 73% of our total operating fleet at the end of the second quarter and remains the focus of our newbuild activity today and in the future. In our aftermarket services business, we improved gross margin to 19% also at the high end of our full year guidance range. Our AMS revenue was below our expectations as we saw several customers defer maintenance activity in the quarter and we passed on some lower margin jobs. Still due to our increasing gross margin percentage, the business contributed in line gross margin dollars. Now, turning to the market, the fundamental long-term market drivers for compression remained sound. Compression is directly benefiting from the low and stable U.S. natural gas prices experienced over the last decade. This stability has driven a structural increase in demand for low-cost U.S. natural gas in the form of LNG exports, Mexico exports, petrochem plant, feedstocks and fuel gas for gas-fired power plants. This significant incremental demand for natural gas has driven the sharp increases in production we've experienced in recent years, and we believe we'll continue to experience in future years, together with the expansion of the production and transportation infrastructure required to support this increased supply. Beneficially, compression is a required component of this natural gas production and transportation infrastructure. These market dynamics led to record increases in U.S. natural gas production in 2018, and most forecasts show 2019 not being far behind. As a result, our core customers continue to plan in advance for their future compression needs with many currently preparing for needs in 2020. As a consequence, spot pricing and customer quote activity remained solid. We're profitably capturing growth in this market as evidenced by the 257,000 organic horsepower increase in our operating fleet over the last 12 months, coupled with a continued increase in our gross margin. We are strategically investing in assets that will deliver strong returns from long-term contracts and drive long-term shareholder value. Our 2019 newbuild program is substantially committed to strategic customers in growth plays, and we're now booking well into 2020. Looking into 2020, we expect natural gas production growth will continue, but the rate of growth will moderate. This moderation supports our ability to further strengthen our balance sheet and to position the business to deliver positive free cash flow. We have a clearly defined multiyear capital allocation policy focused on maximizing shareholder value. We remain committed to three primary objectives: first, continuing to meet the needs of our customer base by investing in high-return assets; second, reducing our leverage to below 4 times in 2020; and third, growing our dividend 10% to 15% annually through 2020. We are steadfast in our commitment to this policy. Since the introduction of our capital allocation policy, we have taken advantage of the attractive opportunity set to deploy capital in high-return assets, while at the same time successfully reducing our leverage ratio by one turn and also increasing our dividend by 10% annually all the while and concurrently maintaining peer-leading dividend coverage. As we look ahead to 2020, our business will continue to benefit from the investments we've made and our capital policy will focus on further strengthening our balance sheet. We would expect our capital investments to follow the pattern of moderating natural gas production growth. As a result, it is our current expectation that our 2020 growth capital will be roughly half that of 2019. This is expected to support our ability to generate free cash flow in late 2020 or early 2021 while meeting the needs of our core customers. To date, our multiyear capital allocation policy is on track. And I'm confident, based on the strength of the market and on our team that we will meet the objectives and create value for our shareholders. The highly supportive backdrop currently in place for compression also supported our recent acquisition of Elite Compression, which included the purchase of 430,000 compression horsepower. As previously discussed, this strategic and immediately accretive transaction carries four main benefits: first, the operations we're acquiring are remarkably similar to our core contract operations business, that is large horsepower equipment focused on servicing midstream applications, backed by long-term, fee-based agreements with blue-chip customers. Second, we executed the transaction and attractive economics. We expect the acquired equipment to generate annual adjusted EBITDA of approximately $55 million including $5 million of high confidence annualized cost synergies from the highly complementary nature of our two platforms. Third, the acquisition reflects low risk growth. As I stated on our transaction announcement call, adding 430,000 horsepower to our feet at a reasonable price and perhaps the strongest compression market we've ever seen is something we're excited about. It allows our shareholders to immediately benefit from the robust level of activity we continue to experience. And fourth, this transaction results in enhanced basin density across a highly complementary geographic footprint. The addition of Elite assets into our portfolio further extends our leadership position in the Eagle Ford while also adding to our position in the Permian, the Marcellus and the Utica. The related and concurrent sell of approximately 80,000 horsepower of non-core compression assets to Harvest Midstream for $30 million further standardizes our compression fleet and the addition of Jeff Hildebrand to Archrock's Board of Directors will add substantial industry experience to our team. Work to integrate the Elite business into Archrock is progressing well supported by our team's experience and the complementary nature of our businesses. And we anticipate closing the transaction later this week. We’ve long discussed the benefits of consolidation in our industry and we're excited to execute such a high-value acquisition that checks every box of what we look forward in a deal. Now, I'd like to turn the call over to Doug for a review of our second quarter performance.
Doug Aron: Thanks, Brad and good morning, everyone. Archrock delivered another quarter of strong financial results. Revenue for the second quarter totaled $238 million, an increase of 5% compared to the prior year period. Adjusted EBITDA for the second quarter was $101 million, an increase of 19% over second quarter of 2018 driven primarily by higher operating horsepower and improved pricing. Net income for the second quarter of 2019 was $11 million, a substantial increase compared to $4 million in the second quarter of 2018. The second quarter of 2019 included $9 million of long-lived asset impairment, $4 million of debt extinguishment and approximately $3 million of transaction-related costs. The second quarter of 2018 included $7 million of long-lived asset impairment, $2 million of debt extinguishment and $6 million of transaction-related costs. In contract operations, revenue improved for the 9th consecutive quarter to $186 million up 13% from the second quarter of 2018. This increase resulted from higher operating horsepower and rate increases implemented in January across our fleet. We achieved gross margin of 62% benefiting from price increases, strong execution by our operations team and discipline maintenance practices, which helped drive lower costs. In our aftermarket services segment, we reported second quarter revenue of $52 million compared to $61 million in the prior year's second quarter. We experienced some slowdown in our AMS business during the quarter as customers delayed capital spending in their ongoing focus on managing capital. Our focus on high margin business drove improvement in quarterly gross margins to 19% up from 17% in the prior year's second quarter at the end of our full year -- at the high end of our full year expectation of between 17% and 19%. SG&A totaled $29 million for the second quarter compared to $27 million for the prior year period and in line with last year -- with last quarter's total. For the second quarter growth CapEx totaled $82 million bringing year-to-date growth CapEx to $193 million. As we've previously indicated our 2019 growth capital will be first half-weighted. Maintenance CapEx for the second quarter of 2019 was $17 million bringing the total for the first half of 2019 to $32 million. We generated $11 million from asset sales in the second quarter. For the first half of 2019, we completed $22 million and we continue to expect roughly $30 million of asset sales for the full year independent of the asset sale to Harvest, driven by our continued focus on honing our fleet with removals of underperforming, non-standardized assets or assets in non-growth areas. We exited the second quarter with total debt of $1.6 billion, up approximately $47 million compared to the first quarter as we funded with debt a portion of our growth capital that supports high-return compression assets. For the second quarter, leverage remained unchanged at 4.4 times. We continue to closely manage our capital position. And remain firmly committed to and on page to achieve our leverage-reduction goals. We exited the quarter with available liquidity of $442 million, down from about $486 million at the end of the prior quarter. As Brad mentioned, we recently announced the acquisition of Elite Compression and a related sale of non-core compression equipment to Harvest Midstream, for $205 million in cash and approximately $22 million newly issued Archrock common shares. This leverage-neutral funding structure keeps us on track to achieve our financial targets, including leverage of below 4 times in 2020, as well as annual dividend growth of between 10% and 15% and dividend coverage of more than 2 times through 2020. We recently declared a second quarter dividend of $0.145 per share or $0.58 on an annualized basis, reflecting an increase of 10% over the prior quarter and prior year quarter. Our latest dividend represents a yield of 5.5% based on yesterday's closing price and a total dividend payment of $22 million. Our second quarter dividend will be paid on August 14 to all shareholders of record on August 7. Cash available for dividend for the second quarter of 2019 totaled, $55 million, leading to second quarter dividend coverage of 2.5 times. We are pleased to deliver on our goal of capital return, while maintaining extremely attractive dividend coverage. As you saw in our earnings release yesterday, Archrock updated its 2019 annual guidance to include the Elite acquisition, of 430,000 horsepower and the divestiture of 80,000 horsepower to Harvest. Our revised guidance reflects five months of results, from these transactions. We are raising our 2019 adjusted EBITDA range, to $400 million to $410 million. In contract operations, we expect full year revenue to be in the range of $770 million to $785 million. We expect gross margins of between 61% at 62% for the year, a 50 basis point increase at the midpoint compared to our guidance in February as we benefit from the addition of Elite's, high-quality fleet. In our AMS business, we lowered our full year revenue range to $210 million to $225 million, with gross margins of 17% to 19%. The AMS market has slowed and customers are deferring maintenance or electing to complete maintenance internally. Right now we anticipate similar activity levels in the back half of the year as compared to the first half. We expect SG&A to total between $119 million and $123 million. The second half run rate is increasing due to a higher spending on our previously discussed technology initiatives. Depreciation and amortization expense is expected to be around $188 million, an increase to account for the increase in compression assets. Interest expense for the year is expected to be slightly above $100 million. Turning to capital, on a full year basis, we are tightening our range to $375 million to $400 million. This updated range, is within the guidance range provided earlier this year. And also includes the addition of the Elite business. We are narrowing our growth capital range between $285 million and $300 million. This will support roughly 320,000 to 340,000 of new horsepower additions. Our 2019 new-build program is substantially committed to customers. And this horsepower will be placed in the field throughout 2019, with a very small portion extending into the early part of 2020. These 2019 investments are focused on large horsepower units that support stable midstream applications, tied to natural gas and oil production and key growth plays. Maintenance CapEx is forecasted to be approximately $60 million to $65 million, up slightly from our prior guidance to account for our larger fleet. Other CapEx, which consists of capital for vehicles, technology and real estate is expected to fall to between $30 million and $35 million for the year. This is a decrease of about $13 million at the midpoint compared to our prior guidance, as we expect to spend less on vehicles and technology this year than originally forecasted. We'll also continue to prune and optimize our asset portfolio for non-core assets not meeting our targeted returns as we anticipate the sale of equipment will raise approximately $30 million for the year, excluding the transaction with Harvest, which will be used to support 2019 capital expenditures. With that, we'd now like to open the questions -- open the line for questions. Bob?
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from John Watson with Simmons Energy. Please proceed with your question.
John Watson: Thank you. Good morning.
Brad Childers: Good morning.
John Watson: Brad, I don't want to belabor the point but because it's important your growth CapEx commentary, you said half of what you spent in 2019 is your expectation for 2020. Did I hear that correctly?
Brad Childers: You did.
John Watson: Okay. That's great to hear. I think that's prudent and will be received very positively. Great. Secondly on the Elite acquisition, I might be incorrect here, but I believe they provided first call services to their customers. If that's correct, can you talk about Archrock's view moving forward on those type of services for Elite's legacy customers? And if not maybe some of the lessons you can learn from Elite and incorporate into the -- into Archrock's practices for other units?
Brad Childers: Sure. Look the first thing I'd say is, we integrate the Elite operations into Archrock and work with our customers on what that means. It's critical that our customers continue to experience the same high quality services to which they become accustomed. In the Elite transaction and with the Elite customer base, they have a large customer concentration with two customers that we do a lot of business with already. And that is of course Hilcorp and also Marathon. And so the continuity of the business quality and the execution quality they will experience in the field is going to remain consistent. Second, we already within Archrock performed first call services with a number of customers throughout the organization -- throughout the operation. What we offer our customers is we wish to meet them where they want to be met, where they want first call we offer that to them. It's fully reflected in our rate. And then there are different level of services we offer with customers depending upon the overall need of that customer and the operational capabilities that they may have with our operational team and other staff members. So this is not new to us. We've been there. We've done it. Most importantly, we're going to continue to provide really great services to the Elite customer base as we do to Archrock's customers today.
John Watson: That's great to hear. Thanks Brad. One last one for me. We've heard some murmurings of a slowdown in orders for new units among the packagers. Is that something that you all have seen? And if so can you talk about the implications of that phenomenon given the current strength in the market?
Brad Childers: Yes. So we're not a packager. So we don't have direct information. But we do believe that as delivery time frames have reduced substantially from where they were. Where we were previously greater than 50 weeks about six months ago, we're now in the 33 to 37 week timeframe for delivery of large horsepower units, that this has reflected that the order activity has moderated and slowed down at the OEMs as well as in the packagers. And we use that somewhat as intelligence and information on the market ahead. What I believe this reflects is that with natural gas production growth being at record levels in 2018, and then second to that in 2019 looking ahead the market is expecting that there's less LNG coming on in 2020 through 2021 maybe even 2022. And so order activity has already started to very helpfully moderate to support only the amount of growth that we expect in the market in those years. It does appear to us based upon forecast by others that are responsible that natural gas production growth is going to be approximately half what it has been in the prior two years. Growth is ahead, but less growth. And so I think the order activity with the packagers maybe reflecting that. The second dynamic, I would suggest is out there is that in 2018 and 2019 people ordered a lot of equipment and they have to digest that put the infrastructure in place and get it operating. And so not every year is going to be a record year in production not every year is going to be a record year in equipment. And what we're seeing, I believe is the market moderating its activity to reflect the actual demand for production and infrastructure that we all see ahead.
John Watson: That is very helpful. Thanks guys and congrats on another strong quarter. I'll turn it back.
Brad Childers: Thanks.
Doug Aron: Thanks, John
Operator: Our next question comes from Daniel Burke with Johnson Rice & Company. Please proceed with your question.
Daniel Burke: Yeah. Good morning, guys.
Brad Childers: Good morning.
Daniel Burke: As we look at spot natural gas prices and low prevailing – even lower prevailing prices at the field level, can you talk about any changes that you've observed either amongst your customer base? I'm just thinking about different factors like churn or increased interest in Gas Lift or – not Gas Lift excuse me, but increased interest in electric compression or even Gas Lift?
Brad Childers: Sure. So the current drivers or the drivers on that short-term spot pricing really tend to be a combination of immediate production levels, injection, and withdrawal levels, and storage capacity, and storage built. That is indicating on a short-term basis, or on a current annual basis some oversupply in the marketplace that's really directly impacting that natural gas price. But fortunately for us, our business is significantly less impacted by short-term gas price volatility, and it's much more levered to production levels. 74% of our fleet on gathering for natural gas production, and 26% levered for oil production, because we have about 26% of our units on Gas Lift right now. So it's not that, we're totally immune from that level of volatility in the natural gas price, but we're very much – it's a very distant from what really drives our operation, which is more about production growth that is anticipated and investment levels required, especially in some of the oilier associated with gas plays. And so it hasn't impacted our business as much. The only caveat I'd put into that is that in this market, if it is sustained we would expect to see a higher level of stock activity in our dried gas plays, which is even now reduced to a minority of the horsepower we have out operating. So there could still be some impact. We haven't seen that show up yet.
Daniel Burke: Right. Any comments on electric compression, Brad?
Brad Childers: Sure. We do see some – nothing like what is going on right now in pressure pumping by the way. That's a totally independent dynamic that hasn't really translated into compression. We do have electric units in our fleets, and we see some customers with a preference for electric motor drive instead of natural gas-driven compression. We see it primarily in a few markets that have the tightest environmental regulations in the country most notably in Colorado and Wyoming. And that's where the combination of the focus on emissions management, together with available electrification has supported the development of more electric motor drive units. We really haven't see that as a broad-based move in the fleet outside of those states.
Daniel Burke: Got it. And then my follow-up would be on the margin percentage guidance for the core contract ops. Encouraging to see that that no job and I think Doug as you identified, Elite should contribute to that step-up in margin. But it was nice to see as well in Q2, the margin over or just a touch over 62%. I guess my question was just on the base Archrock business and sort of the applied cost performance that you all achieved in Q2 sustainable. Can you sort of hold those levels as we look forward? Not over any individual quarter, but just in general as we look forward over the second half of this year and next year? Thanks.
Doug Aron: Sure. Look in a word we gave guidance at the beginning of the year between 60% and 62% for 2019, and as we tightened our range to 61% to 62% that's our indication of confidence that we can perform within that band. We're pretty excited about how well the organization is managing execution in the field. And the combination of the price increases we've obtained over the last few years, the continued price stability we see in the marketplace as well as the execution in the field is going to continue to support our performance in that range. So we're not just optimistic that we can stay within that range. We're excited about what that means to the returns in our business for our investors.
Daniel Burke: Got it. Thank you, guys.
Doug Aron: Yes.
Operator: Our next question comes from Jeremy Tonet with JPMorgan. Please proceed with your question.
Unidentified Analyst: Hey, good afternoon. This is Charlie. If I could just go back to the margins there on contract operations, can you maybe give a little more color on that cost reduction quarter-over-quarter? And how that kind of plays into your expectations to kind of keep margins around that 61%, 62% kind of moving forward?
Brad Childers: Sure. There is no real mystery to it. We've discussed in the past that we really see this as a business that we should be performing and it delivers really good returns on our investments to manage in the 60% gross margin range given the platform on which this business operates. But we guided to move it up into that 60% to 62% range based on what we saw in our forecast for units going to work pricing that we would obtain in the year and the ability to execute in the field. We saw a material move in parts -- management of the cost of parts quarter-over-quarter or sequentially and that had as much to do with a little bit of spending that we were not as thrilled about in Q1 together with great performance in Q2 moving from the sequential 59% to 62% per quarter. It also -- we also benefited from some lube oil cost management and the absence of workers' comp spend that we had in the first quarter. And so those added up into what I think is pretty good story on our ability to sustain our gross margin performance in this range.
Unidentified Analyst: That's helpful. So then I guess if I'm thinking about the full year updated guidance including five months of contribution from Elite it feels like you're set up in a pretty good position to kind of maybe even be towards the top end of the range you've given. I don't know is there anything else that may kind of temper that expectation to kind of maybe push towards the top end?
Doug Aron: Yes. Charlie, it’s Doug. Look I'd say, we're comfortable giving guidance in the range that we gave it which is that 61% to 62% level. Not trying to be KG, but also appreciating that from quarter-to-quarter you can have maintenance on a given unit that can move things if you have an issue. But look I think the bigger picture here is in terms of what we can control in our business. Within reason we've pushed the top end in what's been a very strong market we've grown substantially by adding horsepower, but we've tried to do that responsibly and done the same with pricing. That's typically something we look at once a year. So on the top end – our gross margins we feel very good about the forecast that we've put in there. And then on the OpEx side the sort of flip side of that coin, we're very focused on that. I mean I don't want to take away from the strong work that the team put in to manage costs and drive those costs lower by doing maintenance in a responsible way. Brad talked about parts, but can it come in at the top end of the range? We believe that it can come in within that range and that's the best guess that we have at this point. We appreciate that each of you guys might model it a little bit differently. But from our perspective what we're going to do is continue to focus on that cost management and hope to deliver strong results for the coming quarters.
Unidentified Analyst: That's fair enough. Just last one for me on aftermarket services. Maybe a little bit more color on customer’s kind of delaying maintenance activities there. How much can customers really push that out? And I understand you've changed your guidance for this year but it's still possible for maybe some of these push-out activities to still come in maybe during this year. Any color there?
Brad Childers: Yes. First let me just -- owing up to the fact that this business is notoriously challenging to forecast on a quarterly basis. It's very short-term turnaround on a bunch of the activity in different markets. And so, forecasting this within a tight range is a challenge. As some of our customers have chosen to defer some of their maintenance, we agree with your thesis that it can't go on forever. But in this lower natural gas price environment that you're expressing today, in some of the dry gas plays, which have a lot of activity for our AMS business, we do see some management and cost rationalization occurring in the field. We believe some of it will come back. But how much of it? I go back to point one, which is very difficult to forecast. The only thing I'd point out is that the other objective of growing revenue is in somewhat in conflict to our objective to improve the profitability of the segment. And as we've chosen to turn away from some jobs that were lower margin in the quest for profit, we're okay with where we're coming out from a gross margin dollars perspective. The ability to make the same amount of money with less work and less risk is not a bad thing for that business. So, we're going to continue to manage it, but it's going to depend upon somewhat customer activity to see a full rebound as well as our willingness to push profit is going to -- or our desire to push profit is going to keep that revenue number a little bit more in check in the year than we thought when we initiated 2019 guidance.
Unidentified Analyst: Great. That’s it for me. Thanks.
Operator: Our next question comes from Thomas Curran with B. Riley. Please proceed with your question.
Thomas Curran: Good morning, guys.
Brad Childers: Good morning.
Thomas Curran: For Elite, your initial cost synergy is estimated $5 million just struck me is quite conservative. Now that you've spent another month evaluating Elite and modeling newco, what's your best case scenario for annualized cost synergies? And as you consider cases where you would exceed that $5 million, which year you seem to offer the most potential for harvesting incremental savings?
Brad Childers: Well, even in today's call we reaffirmed our guidance range on the synergies at $5 million, which is the same as we had at transaction announcement. So, we feel very comfortable with that. Most of that is at the SG&A platform level, as we do not need to repeat some of the more senior SG&A activities as well as back office activities that we have already established at Archrock. And by the way, it's a cool strength that we can add a tremendous amount of incremental horsepower, whether organically as well as through acquisition, without expanding by -- other than by an increment the SG&A base that we have already at Archrock. We love the leverage and the efficiency that gives and how well we can grow that business. But we haven't closed the transaction yet. There has not been a lot more work done since. And finally, the Elite organization runs a very tight shop. It's a smaller organization that I would say is fairly well leaned out. And that's one of the reasons why our more modest synergy number of $5 million is the one that we continue to think is going to be achievable. And with that synergy, we're very excited about the value that this brings to our platform.
Thomas Curran: Okay. Shifting gears to 2020. I'll second John Watson's positive response to the sneak privy you've provided for growth CapEx and the discipline you've committed to excising there. I'll reach for something else on 2020. Could you provide us with any target or goal you have for where you'd like to keep working capital, as you move to 2020, especially as you downshift from the aggressive newbuild investment mode you've been in?
Doug Aron: Yeah. So, Tom this is Doug. I guess specifically it was a segment of the working capital balance that -- I mean as I think about it receivables, inventory, payables, cash, I mean what segment of working capital were you sort of envisioning in that question?
Thomas Curran: To the extent you have targets for each that would be great, Doug? Or just maybe for working capital, net working capital in its entirety, as a percentage of revenue, say, on a trailing 12 month basis? Just as you look to manage working capital and minimize the drag it imposes on cash flow. What are the goals or target ranges you have for either net working capital in its entirety, DSOs, days payable, where do you focus heading into 2020?
Doug Aron: Yes. Well, look I think it's an interesting question. We certainly -- look let's start with as you talk about day sales outstanding and for the most part, you look at the top 10 customers within our revenues and we've got some outstanding customers with outstanding balance sheets and credit ratings. And so for the most part our DSO is good. It can be better. I'm sure everybody's can and we're working through some of that. But in terms of -- I guess I don't think on a day-to-day basis about the working capital being particularly a drag. As we think about -- more what we've talked about in the past is our conversion from CapEx on new equipment to revenue coming in and starting up is pretty quick. There's a certain amount of working capital that will always be necessary in this business. And I guess I would tell you that even as we reduce CapEx, just given the amount of horsepower we have outstanding there will always be the necessity for carrying some of those receivable balances. We've worked hard even before I got here to try to reduce the amount of inventory we're carrying and not have quite as much there. But overall I wouldn't anticipate into 2020 a material change in those working capital balances.
Thomas Curran: Okay. Helpful. And then Brad ever since Archrock moved toward uniform compressor configuration in the wake of Universal and Hanover merger. I believe you standardized to air exchanger for coolers. Do you foresee any risks or maybe opportunities related to Chart Industries' acquisition of Air-X-Changers from Harsco?
Brad Childers: No, we don't. I mean Air-X-Changers has been a very reliable vendor for a very long time and we don't see that the Chart's management of that business is going to change that in any way. Chart has done a very good job of reaching out to us and engaging in the communication and giving us great indications of continuity of service and quality going forward. And so we don't expect that to be a negative for us.
Thomas Curran: Good to hear. Thanks for fielding my questions.
Brad Childers: Thank you.
Operator: There are no more questions. Now, I'd like to turn the call back over to Mr. Childers for final remarks.
Brad Childers: Thanks operator. And thank you everyone for joining our call this morning. Before wrapping up, I'd like to close with this. When I think about where Archrock stands today and what lies ahead for our business, I remain excited about where we're going for a few key reasons. The market remains strong providing attractive opportunities to profitably grow our business. We're investing in and taking delivery on new equipment to support the structural demand growth we're experiencing. Our team of world-class employees continue to execute on behalf of our customers delivering reliable safe and efficient compression services day-in and day-out. And finally, we remain focused on generating attractive returns and value for our shareholders. We are one of the strongest positions in the company's history and I'm proud of all that we're achieving and the prospects for growth and improved returns that lie ahead. Thanks everyone. I look forward to talking to you again on our third quarter earnings call.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.